Operator: Good afternoon. My name is Sylvie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Amerigo Resources' Full Year and Q4 2021 Earnings Call. At this time know that all lines have been placed on mute to prevent any background noise. [Operator Instructions] Mr. Graham Farrell of Harbor Access Investor Relations, you may begin the conference.
Graham Farrell: Thank you, operator. Good afternoon, and welcome, everyone, to Amerigo Resources' Investor Conference Call to discuss the company's financial results for the full year and fourth quarter of 2021. We are delighted to have you join us today. This call will cover Amerigo's financial and operating results for the year ended December 31, 2021, and we'll also refer to the financial results for the fourth quarter, along with a discussion of recent highlights and goals for 2022.  Please note that all dollar figures quoted in this call are U.S. dollars, except or otherwise indicated. Following our prepared remarks, we will open the conference call to a question-and-answer session. Our call today will be led by: America's Chief Executive Officer, Aurora Davidson; along with the company's Chief Financial Officer, Carmen Amezquita. Before we begin our formal remarks, I would like to remind everyone that some of the statements on this conference call may be forward-looking statements. Forward-looking statements may include, but are not necessarily limited to, financial projections or other statements of the company's plans, objectives, expectations or intentions. These matters involve certain risks and uncertainties. The company's actual results may differ significantly from those projected or suggested by any forward-looking statements due to a variety of factors, which are discussed in detail in our SEDAR filings. I will now hand the call over to Aurora Davidson. Please go ahead, Aurora.
Aurora Davidson: Thank you, Graham. Welcome, everyone, to the Amerigo Resources earnings call to present 2021 financial results. Kind reminder that all dollar figures reported in this call are U.S. dollars, except where we specifically refer to Canadian dollars. 2021, was a transformational year for Amerigo and its shareholders. The company posted its strongest financial annual results in record, including revenue of $199.6 million, EBITDA of $90.1 million and net income of $39.8 million. Earnings per share were $0.22 or CAD 0.28. Without question, the robust copper prices of 2021 were instrumental in Amerigo achieving these results. The average LME copper price for the year was $4.22 per pound and our operation in Chile, MVC had a copper price of $4.25 per pound compared to an average copper price of $2.94 per pound in 2020.  However, I really want to give credit to our team of 292 workers in Chile for meeting our 2021 production and operational goals. NBC produced 63.4 million pounds of copper at a cash cost of $1.75 per pound, outperforming our guidance for both production and cash cost. Copper production in 2021 was fully 13% higher than the year before. In 2022, we expect to continue to have strong operational results. We have provided guidance to produce 61.9 million pounds of copper and 1.2 million pounds of moly. So that everyone is aware, the annual plant maintenance shutdown at MVC and El Teniente is currently expected to last 8 days and take place in April. MVC's operations continued through 2021 without any disruptions due to COVID-19. Our plant availability was 98%, which compares very well with other traditional copper concentrators. MVC had no environmental regulation tractions and had an excellent safety record. Water supply risks continue to be properly managed. Despite another year of drought in Chile, we maintained adequate water reserves in Colihues, which at the last month account were 5.4 million cubic meters, which is a healthy level. To monitor MVC's sources and uses of water, we have in place an 18-month rolling forecast, which currently shows no need to curtail operations as a result of reduced water availability in the next 18 months. MVC incurred CapEx of $9.4 million in 2021, which is higher than our target sustaining CapEx of around $6 million a year. The projects undertaken ensured we had full operational continuity and were also associated with a strategic shift to capture more fresh tailings. This shift directly contributed to higher production levels in the year, which we expect will be maintained going into the future. As a result of the shift, the contribution to total production from fresh tailings increased from 45% in Q1 to 55% in Q4. The change is an important strategy change for various reasons: one, we're capturing a significantly higher flow of fresh tailings to the plant, which is important to us and to the community; two, we are not depleting Codelco as quickly, which means our reserves are extended; and three, we are using less water as alkanes is a water-intensive operation. And I believe the importance of this is clear to everyone considering the drought. In 2021, MVC also completed the core work to optimize its 3 water recovery thickeners. The first thickener is now fully upgraded. The second is scheduled for the upcoming April plant shutdown. And the third will be opportunistically scheduled. These thickeners are an important part of MVC's efficient use of water. 2022, will be another higher-than-normal CapEx year for MVC, as we have indicated in our production guidance already. In addition to 29 sustaining CapEx projects expected to cost $6 million, we will undertake two additional projects for $4.7 million. These projects include an upgrade to the aerial tailings channel in response to the higher levels of fresh tailings throughput. Capitalized whole maintenance is expected to be $2.8 million. Inflationary pressures are becoming evident, and we expect that cash cost will increase, as we have already indicated, from $1.75 per pound in 2021 to $1.90 per pound. The single most significant driver is our treatment and refinery charge for an expected increase of $0.06 per pound. Tripping and refinery charges are a benchmark cost and the impact is industry-wide and not specific to Amerigo. We also expect an increase in steel prices of approximately $0.04 per pound of copper, lower multiproduct credits of $0.02 and another $0.02 for all other inputs. This is an aggressive cost target. But we will -- particularly considering cost escalation worldwide, but we will do our best to achieve it. Let me point out that the targeted cash cost of $1.90 per pound does not include the effect of signing bonuses to be paid this year by MVC to its 200 unionized workers. Signing bonuses are paid in Chile upon signing of collective agreements, which have a 3-year term, and MVC's agreement expires on October 21. We do not know the size of the signing bonuses, but they are not token amounts, and they are correlated to the price of copper at the time of signing. As a reference, to sign the current operator’s contract in October 2019, copper prices were $2.60 per pound, MVC paid $2.1 million in signing bonuses. These bonuses must be expensed when incurred, so there will be a significant impact on cash cost in the period in which they are paid. In our opinion, the market outlook for copper remains strong. In January, the average copper price was $4.43 per pound. And as of today, the average copper price in February has been $4.50 per pound. It could be possible that in the year, we reached the upward limits on the royalty agreements with El Teniente. I went over this topic on the last call, but I want to touch on it again. The contract with El Teniente state that if the average monthly LME copper price goes over $4.80 per pound for fresh tailings or $5.50 per pound for Cauquenes for two consecutive months, and projections indicate the permanence of those higher prices over time, MVC and El Teniente will need to negotiate the upward continuation of the royalty scale. The purpose of the renegotiation would be to maintain the same balance of the business split between MVC and El Teniente as that which we currently have in place within the established price band. This would not be a clean plate negotiation. And based on prior experience, we expect the potential future discussions on copper royalties outside of the current price would be uneventful. Moving on from the topic of MVC operations. I would now like to discuss the company's balance sheet and capital repatriation strategies. Amerigo ended the year with a strong balance sheet with more cash and less debt. Net cash at year-end was $33.6 million compared to negative net cash of $39.7 million at the end of 2020. Carmen will elaborate further on these topics as I want to use some of my time to talk about what this means for Amerigo's shareholders. In my view, the strength of operational and financial results in 2021 resulted in three important wins for Amerigo shareholders: reduction in debt and capital repatriation in the form of share buybacks and dividends. Reducing corporate debt is the benefit to shareholders or the residual owners after creditors. In 2021, Amerigo's debt was reduced by $23.4 million. This represents a net debt pay-down yield of 11.6%. In 2021, the company also completed a substantial issuer bid and initiated a normal course issuer bid. A total of $8.8 million were used to repurchase 8.5 million shares, which were tendered for cancellation, representing a buyback yield of 4.4%. While we're talking about the buyback programs, let me give you a brief update on our significant shareholders to perhaps clear up some confusion. One of Amerigo's large historical shareholders like Geologic Resource Partners, led by George Ireland, originally holding more than 23.4 million shares of Amerigo. Geologic is in the process of winding Abasafunds and distributing its holdings to its investors.  Most of the investors opted to receive their Amerigo shares in kind and not in cash, and this included George Ireland, who increased his personal position in Amerigo by 8.7 million shares. In addition, more than 9 million shares of Amerigo are now held by a top 5 U.S. university endowment and another 2.7 million shares are held by new individual investors, all of whom were investors in Geologic. We are grateful for their continuous support. Now on to the dividends. In Q4 2021, Amerigo reinstated the quarterly payment of dividends to shareholders. The objective of Amerigo's dividend policy is to have a steady, safe quarterly dividend that can gradually grow over time. In fact, you've already seen this happen. On November 1, 2021, the Board declared a quarterly dividend of CAD 0.02 per share. Then on February 22, 2022, the Board declared an increased quarterly dividend of CAD 0.03 per share. Based on Amerigo's December 31, 2021 share closing price of CAD 1.46, this increased quarterly dividend represents an annual dividend yield of 8.22%. The Board considers the quarterly dividend to be secured and Amerigo shareholders should be able to count on that dividend yield in their portfolios. We do realize, however, that this prudent policy from time to time could end up leaving a pile of undistributed cash, which is not our goal either. To resolve this, the Board has decided to periodically pay an annual dividend in addition to the quarterly dividend. The annual dividend will be pendant several factors such as the company's financial performance, the copper market outlook as well as ensuring that appropriate levels of cash are maintained for operations. Currently, we estimate that the appropriate cash to retain after the payment of an annual dividend would be in the range of $20 million to $25 million. I was reading a recent market commentary from Bank of America. This commentary followed the release of annual results for Rio Pinto, and the title of the report was capital return is paramount. Investors worldwide are focused on capital returns as interest rates remain stubbornly low. And in my opinion, Amerigo now has one of the best-in-class return of capital policies available to investors anywhere. To close my remarks, I will mention Chilean politics as I am often asked about this. On March 11, Gabriel Boric will be sworn in as President of Chile. Gabriel Boric is 35 years old, and was the last meaning candidate and then end up winning the race as a result of one strategic change to significantly tempered down the tone of this political offering, to reach the traditional center left of Chilean politics. This more rational and inclusive approach was successful and has continued to date including in the selection of his cabinet. The business community and foreign investors have welcomed this approach. Separately, the constitutional assembly that is charged with preparing a draft of a new constitution has generated some controversial proposals, all of them still at the committee level. It is more likely than not that Mr. Boric and his government will infuse the same spirit of rationality, common sense and logic that they have so well used on the members of the Constitutional Convention. Most observers believe that a radical proposal for a new constitution will most likely not be accepted by the people of Chile. Regardless of the tone of some of the proposals and the press coverage they may get, the fact that Galinko is a company owned by the state of Chile makes us interested observers of these topics, but we do not see them as risk factors to our operation in Chile. Now I will ask Carmen Amezquita, Amerigo's Chief Financial Officer, to present in detail the 2021 financial results. And by the way, we thought it would be better to have the earning calls on Monday rather than on Fridays when research shows everyone mined is on the weekend. Carmen, please go ahead.
Carmen Amezquita: Thank you, Aurora. We're pleased to present the 2021 annual financial report from Amerigo Resources and its MVC operation in Chile. The company had a strong financial performance throughout 2021. Amerigo posted a record net income of $39.8 million, earnings per share of $0.22 or CAD 0.28, EBITDA of $90.1 million and operating cash flow before changes in working capital of $69.5 million. Q4 2021 financial results included net income of $8.9 million. Earnings per share of $0.05 or CAD 0.06. EBITDA of $24.9 million and operating cash flow before changes in working capital of $18.3 million. The strong results in 2021 were due to higher metal prices during the year and an increase of 13% in copper production over the prior year. On December 31, 2021, the company had a cash and restricted cash balance of $64 million and working capital of $24.6 million compared to a cash balance of $14.1 million and working capital efficiency of $6.1 million at the end of 2020. Total borrowings decreased from $53.8 million to $30.4 million. This change is the result of the repayment of debt and the debt refinancing completed during the year. Amerigo's financial performance is highly sensitive to copper prices. Amerigo's average copper price for 2021 was $4.25 per pound, 45% higher than 2020's average copper price of $2.94 per pound. Another factor affecting earnings are the changes in copper price from one period to the next. This is so because of our M+3 price convention for copper sales where the final settlement price is the average LME price for the third month following production of copper concentrate. At December 31, 2021, MVC's provisional copper price was $4.32 per pound, and final prices for October, November and December 2021 sales will be the average London Metal Exchange prices for January, February and March 2022, respectively. A 10% increase or decrease from the $4.32 per pound provisional price would result in a $7.2 million change in copper revenue in 2022 in respect of 2021 production. Today's copper price is $4.52 per pound. Revenue in 2021 was $199.6 million compared to $126.4 million in 2020. This included copper tolling revenue of $181.4 million and molybdenum revenue of $18.1 million. Within the copper revenue, the gross copper sales were $269.4 million, and there were positive settlement adjustments of $13.1 million. And then deducted from revenue, we had $78.4 million in royalties to DET, smelting and refinery costs of $20.6 million and transportation costs of $2 million. Total tolling and production costs including depreciation were $127.5 million. This compares to tolling production costs of $111 million from the prior year. In 2021, there were general and administrative costs of $4.8 million compared to $2.8 million in the prior year. The $2 million increase in general and admin expenses relate to an increase in salaries and management fees of $520,000 and an increase of $450,000 in legal and tax advisory fees associated with cash repatriation and costs associated with various share repurchase initiatives of 2021. Share-based payments increased by $546,000 and office and general expenses increased by $487,000 mostly in connection with the company's rebound Investor Relations activity. The derivative to related parties had an expense of $821,000 during the year, compared to an expense of $20,000 in 2020. Between 2021 included actual amounts paid or accrued to related parties of $1 million and a $200,000 decrease in fair value. This difference in expense year-over-year is mostly related to the $1 million fair value adjustment recovery recorded during 2020, which was related from the fluctuation of metal prices and discount rates. Other losses were $2.2 million compared to $766,000 in the prior year period. The increase relates mostly to the changes in foreign exchange recognized with a loss of $1.4 million recognized in 2021 compared to a gain of $1.5 million in the prior year. The Chilean peso weakened during 2021 after strengthening during 2020 causing a swing in the FX gain loss that was recognized year-over-year. Finance expense was $3.8 million compared to $5.2 million in the prior year. This included $3.5 million in finance and interest charges and $300,000 in fair value adjustments to interest rate swaps. In 2020, the finance expense included $3.7 million in finance and interest charges and $1.5 million in fair value adjustments to interest rate swaps. The company uses interest rate swaps to manage risks related to variable rate debt. On December 31, 2021, the balance of the term loan was $30.4 million. The interest on the term loan is synthetically fixed through an interest rate swap at a rate of 5.48% per annum for 75% of the facility. The remaining 25% of the facility is subject to a variable rate based on the U.S. LIBOR 6-month rate, which on December 31, 2021, was 0.35438% per annum, plus a margin of 3.9%. Also, quite importantly, in 2021, the company recognized an income tax expense of $20.7 million compared to $476,000 in 2020. Tax expense includes both current tax, that is the actual taxes payable by the company and deferred tax, which is a noncash figure to reconcile timing differences between financial depreciation and tax depreciation. The company's current tax liabilities are shown in the statement of financial position. And on December 31, 2021 were $8.3 million. Current taxes for 2021 will be paid in April 2022 by MVC. The balance sheet also shows a deferred income tax liability of $35.8 million, which is the balance that tracks timing differences and does not represent taxes outstanding or due by the company. In respect to cash flow in the year, cash flow from operating activities before working capital changes during 2021 was $69.5 million, $93.1 million after working capital changes. Cash flow used in investing activities was $8.1 million, which includes the purchase of plant and equipment of $12 million, offset by $3.9 million received from the sale of investments held by the company during the year. Cash and financing activities was $36.8 million. This is made up of the repayment on borrowings of $57.8 million as well as the repurchase of shares of $8.8 million. Dividends paid of $2.8 million and lease repayments of $1.2 million, all offset by the proceeds from borrowings net of transaction costs of $33.8 million. Overall, there was a net increase in cash and cash equivalents of $48.2 million and after accounting for the effect of exchange rate changes on cash and ending cash balance of $59.8 million. Additionally, the company held $4.2 million in restricted cash. We will report the Q1 2022 financial results in May 2022 and want to thank you for your continued interest in the company during the year. We will now take questions from call participants.
Operator: [Operator Instructions] And your first question will be from Steve Ferazani at Sidoti. Please go ahead. 
Steve Ferazani: Good afternoon Aurora. Carmen appreciate all the detail on the call. Wanted to ask a little bit about uses of cash. Obviously, you've shown a real commitment to return cash to shareholders would see return of the dividend already increasing the dividend, the buybacks. Trying to think now the annual dividend. I'm trying to think how you weigh returning cash to shareholders versus investment in the facilities and potentially the opportunity to invest in the facilities to expand the annual throughput.
Aurora Davidson: Steve, that's a good question. Thank you for that. Let's start with a very simple premise. The first priority is to ensure that we have an operation that continues producing and generating returns to shareholders. We cannot take and we've never taken a position where we would prioritize a return of capital without first having assessed what the capital requirements are at MVC, but we have already done that. We indicated that we have essentially in addition to our sustaining CapEx project of $6 million, we're allocating an additional $4.7 million due to risk mitigation projects that we feel are important to have in place. So that has already been factored in. I don't know if that answers your question, but you really have to prioritize attending to your operation and ensuring that your operation is in good shape before anything else.
Steve Ferazani: So I guess the follow-up is how you're thinking about based on your guidance for -- I don't know production, your processing is tied to now El Teniente production. But just thinking about investments that could increase throughput that could increase volumes where you could have a larger amount of both historical and fresh tailings? Or are you at the current facility at basic capacity? Or is it the water usage that would limit it?
Aurora Davidson: I think that the basic constraint that we have is that you have to see our operation as a closed circuit or a closed-loop operation adjacent to El Teniente, right? To the extent that we receive more fresh tailings, there is more capacity taken in the downstream channel that goes from MVC to the tailings deposit that cut-in. So we cannot go in and artificially increase the amount of material that goes down to from MVC currently. We have to be respectful and mindful of the environmental conditions and the environmental limitations that are in respect of that.  We have already done a substantial amount of work to capture as much of the fresh tailings as we can. We weren't processing all of the fresh tailings that came to MVC before. So essentially, a significant amount of fresh tailings were going out of the plant or being deposited without processing in Colihues, and we have moved away from that by increasing our capacity to process more of the fresh tailings. So those opportunities have already been taken care of. Cauquenes is not a resource that if we don't process today, we're losing as is the case with the fresh tailings. So when I mentioned that one of the benefits of processing more fresh tailings means that we maintain the same level of production, the same level of recovery, the same level of efficiencies without repleting Cauquenes at the same higher rate that we were doing at before. That's a benefit to the company. That basically means that we have more of the benefit of working with both French and historical tailings in future periods rather than working on the basis of gradually extinguishing Cauquenes and only being left with processing and fresh.
Steve Ferazani: I appreciate all the insight. Thanks and I’ll turn it over. 
Operator: Next question will be from Aaron Dunn at Keystone. Please go ahead. 
Aaron Dunn: Hi, thank you for taking my question. Just wanted to expand on the last question a little bit. And I was curious to know, what are the opportunities for acquiring other facilities, either inside or outside of Chile, and expanding your processing production capacity that way. If you could just talk about maybe the size of potential opportunities and timing, if that's something that you're looking to do?
Aurora Davidson: Yes, I appreciate the question. We're essentially not looking at acquiring facilities. I mean -- and excuse me for being as precise in the wording. What we're looking for is the opportunity to have access to tailings that we can process. So it's not as if there's another facility out there that we would be acquiring to produce copper.  What we do is our expert advantage is in processing tailings. Now all the mines have tailings and all the lines could potentially have a tailings processing operations, I think the one that we have at MVC processing deals and enter tailing. There are several factors to consider there. One is how many tailings that you have. Whether they are fresh tailings, that's current production or whether you have historical tailings or whether you have both. Where are those tailings located? In the case of -- we get the fresh tailings essentially at no cost by virtue of them being transported down by gravity from El Teniente to a tailings deposit. And we're just in the middle of it all, and we see those tailings free of charge. Water availability when you're talking about processing old tailings where you have to essentially break down solidified material in order to create a flurry that's capital that's a water-intensive operation. So there are a number of factors. And I would just mention location, the size of the deposit and the ability to establish a partnership with the owner of the tailings where they would continue being the owners of the tailings and where we get the process -- the tailings for them through a similar arrangement as what we have with El Teniente. So those would be the -- some of the considerations to have when considering future projects. We're looking at other projects. We have been discussing similar projects with Codelco other lines for a number of years. So this is all work in progress, but with no definitive time line of deliverables that we can share at this time.
Aaron Dunn: Okay. So just so I understand, so in terms of just production capacity, for the near term anyways, you foresee yourself as more or less being maxed out at that kind of $61 million to $63 million at MVC? Is that correct?
Aurora Davidson: Yes, $61 million to $63 million, $65 million, depending on where we are processing Cauquenes. Cauquenes has different grades throughout the deposit. So from time to time, we could be working on a higher grade area. That would give us that additional delta of 2 million pounds of copper in any given year.
Aaron Dunn: Okay. That’s all. Thank you for taking my call.
Operator: Next question will be from Nick Toor at BlackRoot Capital. Please go ahead. 
Nick Toor: Aurora, so you had mentioned that you want to consider other through buybacks or additional dividends or give additional annual dividend based on copper prices and general market conditions to bring your cash balance down to the $20 million to $35 million level. At current copper prices, what is your expectation of how much cash the company would generate in 2022?
Aurora Davidson: We don't provide that type of guidance, Nick. We have provided a guidance based on our budget. Our budget was at a more conservative copper price of $3.90. We have provided guidance and EBITDA. I think that one of the aspects, particularly now that we have spoken about the dividend policy, and we're going to be incorporating that into our investor materials will be to move away from EBITDA guidance to free cash flow guidance and start incorporating that in the discussion so that people can get a more concrete feeling of what the potential for that additional rule be it of share buybacks or an additional dividend would be. But it's not something that we can discuss in the context of this call right now.
Nick Toor: Okay. But in 2021, how much cash do you generate? I think it's roughly around $50 million? But correct me if I'm wrong.
Aurora Davidson: In 2021? Yes, well, Carmen was just providing all of that information. We generated the exact number here. We generated from operations before changes in working capital of $69.4 million.
Nick Toor: Right. But that was not your free cash flow because then you had CapEx of...
Aurora Davidson: No, no, no. That's essentially the cash generated from operations. And then after that, you have to calculate your CapEx debt repayments. And in this case, once you start factoring in a level of dividends at a quarterly rate that we don't want to have to cut that from, well, that becomes part of that free cash flow, I mean you're not considering zero dividends. You would consider the amount of a $0.03 per share on a quarterly basis as part of the committed funds that the company has already factored in.
Nick Toor: Right. So I think on current run rate, you're saying $16 million in dividends. And if I just sort of look at cash flow from operations last year, which is roughly $70 million. And then you think about CapEx, you had roughly around $10 million, you're now at $60 million and then take out $16 million for dividends. So you're roughly around $50 million, $55 million of cash generated from operations after paying all your expenses so...
Aurora Davidson: You're not considering their taxes. We're actually -- as Carmen mentioned, we're essentially paying in 2022 for the taxes that we accrued in 2021, that's just the normal term of time taxes. So that's going to be set significant that we didn't have before.
Nick Toor: Which is I think you mentioned about $8 million?
Aurora Davidson: For last year, yes.
Nick Toor: Yes. So that obviously that more or I'm saying here some last year number. So if you take that out, you're roughly around $40 million, $45 million. So you currently have a $55 million balance. So it would be -- if you assume that conditions were the same as last year, you would roughly end up with over $100 million worth of cash after paying a dividend. And so is the guidance that you're giving here is that above $25 million, whatever cash is left my estimate is around $100 million. You would then dividend that cash out?
Aurora Davidson: Well, we said a combination of dividends and share buybacks. Share buybacks were not limited to the normal course issuer bid that we have in place. In general terms, the discussion is or the conclusion is we don't want to end the year with a substantial amount of cash and considering all the factors and all the obligations that the company may have, a combination of a higher annual dividend or share buybacks is definitely some -- are definitely considered in order to maintain appropriate cash but not excess cash on the balance sheet.
Nick Toor: Yes. No, I think that's a smart policy. I'm just trying to get my hands around the numbers. So I think it's a rough math. And obviously, things can change based on copper prices and other factors. But if 2022 looks like 2021, you would have roughly $75 million to either give out as a dividend or for share buybacks or a combination of both. That sort of your guidance is that at the end of the day, you'll bring your cash balance down to $20 million to $25 million?
Aurora Davidson: Yes. I think that, that is what we stated, and that's the idea. The calculations that go in the middle of that we should not change the conclusion and you mentioned the critical part. Depending on copper prices and other sets of circumstances right now, everything is looking good. Let's keep our fingers crossed if that is the case.
Nick Toor: Okay great. Thanks. 
Operator: Next question will be from John Polcari at Mutual of America. Please go ahead. 
John Polcari: Thank you. I assume the interest expense is in U.S. dollars, correct?
Aurora Davidson: Yes. Everything that we report in U.S. dollars except when given.
John Polcari: So the expenses, I assume most of the expenses retranslation are in local or in pesos?
Aurora Davidson: Some of them are -- yes, some of them are in pesos, some originating in U.S. dollars.
John Polcari: The majority such as labor and benefits, et cetera, in local currency?
Aurora Davidson: That is correct. Labor services, subcontract work, all of that is the Chilean peso. Power, U.S. dollars. Steel, U.S. dollars. TCRCs, U.S. dollars. Line, we have both U.S. and Chilean pesos.
John Polcari: So on balance, as the U.S. dollar has strengthened over the last year and perhaps might continue to strengthen. On balance, is that a positive or a negative in terms of expenses to the company? Or is that too difficult to assess at this point because of the use of power, et cetera?
Aurora Davidson: No. In typical terms, we have a natural hedge because our revenue is in U.S. dollars, right? So when we get a benefit out of foreign exchange matter, it's essentially through a weakening of the Chilean peso.
John Polcari: Okay. So on balance for 2021, you did have a, obviously, it was a positive effect. It simply...
Aurora Davidson: It was a positive effect.
John Polcari: Right. What is the current corporate tax rate? Not that you're saying but the top rate in Chile subject to any changes with the new political situation. But at present, what's the...
Aurora Davidson: There is -- the Chilean corporate tax rate is 27%. And when you repatriate funds out of Chile as is the case when dividends are declared from MVC, you get another 8% nominal. In practice, what we're seeing is that once you factor in all the taxable differences the cost is about 11% of additional tax and repatriation.
John Polcari: Okay. So that would move the total tax rate north of 30%? Okay.
Aurora Davidson: Yes.
John Polcari: On the royalty, should we be fortunate enough to see the current copper price stabilize or even move higher to the point where the royalty had to be adjusted because of higher prices exceeding the current cap. Is the entire agreement recast? Or does the existing agreements stay in place and just pricing above foreign exchange?
Aurora Davidson: The existing agreement stays in place, and it's only the royalty, which is one of many clauses in the agreement that would change.
John Polcari: Okay. But the royalty would only change above, for instance, on the star selling would only change above the price of 480, correct?
Aurora Davidson: Correct.
John Polcari: So any existing royalty structure on newer oil tailings up to the current cap that's in the agreement stays in place going forward. Okay. Can you tell us what might have been repurchased in terms of shares so far for the first two-months of '22?
Aurora Davidson: Absolutely. We have the information on our website as well, but we paid -- we have repurchased 2.2 million shares in total out of the normal core issuer bid. We repurchased 1.4 million shares in December. We repurchased 0.8 million shares in January. When we -- and that was all the way up to January 24. In January 24, we started our blackout period. And during a blackout period, you cannot do repurchases under the normal course issuer bid. We reinitiated our repurchases to-date after we came out of the blackout period. So 2.2 million shares as a normal course issuer bid have been bought, and we have 8.55 million shares to go.
John Polcari: And that would have to be reapproved I assume at the end of the year for '23, you have to file again for another...
Aurora Davidson: Yes. The earlier the expiry date or the date in which you finished buying the 10.75 million shares that we have approval to buy for repurchasing -- to buy for cancellation.
John Polcari: Got it. So theoretically, you could actually reconstitute the repurchase agreement added earlier -- at a date earlier than year-end?
Aurora Davidson: That is correct. And John, we can also put a pause on the normal course issuer bid and do a substantial issuer bid. We cannot do both concurrently. But we can pause the normal course and do a substantial issuer bid.
John Polcari: Great. Thank you. My last question is simply on any special dividend that may or may not happen, would that be also a qualified dividend as the existing dividends are? Or would that be some other form of return of capital? Or...
Aurora Davidson: No, there would be an eligible dividend in the same form as the normal dividends are. And we wouldn't call it a special dividend. We would just call it a top-up dividend but an ordinary dividend.
John Polcari: Okay. But as an ordinary dividend, it wouldn't necessarily be at a permanently higher level. I know you've been appreciating the conservative in terms of escalating the dividend to -- and maintaining a sustainable level. But...
Aurora Davidson: We wouldn't call it as special. We would just call it a regular dividend at a higher annual rate.
John Polcari: Okay. But not necessarily a permanent higher annual rate just...
Aurora Davidson: No, no, no. No, that is not what we intend to. We want to have a consistent record of quarterly dividend that people can count on and then use an annual dividend precisely as a mechanism to return additional cash -- excess cash that the company may have generated in the period or that is sitting on the balance sheet.
John Polcari: Thank you, thanks for clearing that up. And again, that would be as the dividends have been so far, a qualified dividend for tax purpose?
Aurora Davidson: Yes. Yes, it's called an eligible dividend in Canadian tax terms, yes.
John Polcari: Okay, great. Thank you, that’s all I had and we appreciate the excellent management. Thank you.
Aurora Davidson: Thank you.
Operator: Next question will be from Terry Fisher of CIBC. Please go ahead. 
Terry Fisher: Yes. Congratulations again. I'll be mercifully brief since this has gone on a long time. First of all, I again have trouble trying to find the MD&A and financial statements on the website. I was able to get them on SEDAR, but I just point that out that maybe people are looking for them, to be good to have them on the website or maybe I'm just confident enough not to be able to find them there, but I gave it a pretty good search. Secondly, question-wise, to follow up on the last two calls were dividends. I'm just interested in timing, if you're going to pay a special dividend in addition to the quarterly one, which just got raised, and I think that should get the market's attention. I would assume that that's -- the way other companies do it is at the end of the year. They take a look at where they are, and it’s sort of declared sort of at the end of the year, maybe even after year-end out of the annual results as opposed to some interim period during the year. In other words, you'd rarely ever see more than one special dividend, and it tends to be at the end of the year. Anyway, that's one question. Related to that is the timing on the normal course issuer bid is ongoing. So I guess it's a management or a decision that the Board needs to take in managing the process of getting capital out to shareholders as to the timing of which of those you do. And I would think the share price also might factor into that. If it shoots up, you'd pay a cash dividend, special one rather than buy shares back. Like I don't know what the calculus is there. But right now, what I'm asking about more is the timing. What I'm expecting is you're going to keep buying shares back on the NCIB during the year. And then at the end of the year, there may be a special dividend. Is that correct?
Aurora Davidson: Yes. I don't expect that the Board will be declaring that higher annual dividend in Q2 of 2020 to just to give an example. The normal course issuer bid is ongoing. The Board assesses working, with respect to share price, what's the adequacy of continuing with share buybacks or for example, as I mentioned with John before initiating a substantial issuer bid.  I think it's -- there are a number of factors that come into play, Terry, and yes, normally, the annual dividend is declared after the review of annual results, but I don't think that necessarily you're set to do it then. I think the company and the Board may have the flexibility of declaring that annual dividend, not necessarily always at the same time. And it will not be a special dividend. That's just to clarify that.  It will be within -- we'll call it a regular dividend. We will not call it special. We're just not -- and a lot of companies that have annual dividends call it just an ordinary dividend as well as they do all the necessary disclosures to include that, that is a dividend that is being paid at a higher annual rate, but it is not -- there are not going to be five dividends in a given year, there are going to be four.
Terry Fisher: Okay. That's good clarification. Thanks. I certainly misinterpreted it. Anyway, we will accept the dividend whenever you choose -- you and the Board choose to pay it out. So again, congratulations. We're looking forward to another really good year and good luck.
Aurora Davidson: And I'll send you an e-mail with the path for the MD&A and financial statements. They're all under on the website.
Terry Fisher: Yes, I'd like that because I couldn't find them.
Aurora Davidson: Yes, I'll do that. Thank you, Terry.
Terry Fisher: Bye, bye. 
Operator: [Operator Instructions] And your next question is from John Whittier of C3 [ph]. Please go ahead. 
Unidentified Analyst: Hi, Aurora. I have a follow-up to all the questions as far as uses of cash. We haven't really dialed in yet on with some expenses coming at the -- in the second half of the year. What -- is there any thought right now on -- you did an excellent job with restructuring your debt, spreading it out and getting it to the point where there's no prepayment penalty.  Is there any thought at this point because copper has stayed where it's been now for a long period of time, and that has such a huge magnitude of effect on what's going on with your company? Is there any thought on -- I mean, at a minimum with all expenses, including interest expense mattering, cutting that in half or even zeroing that out based on the strong quarterly free cash? And then if you could, can you tell me again, can we review your credit line?  Your credit line is $15 million. And just how long is that in effect for? Is that a '22, '23 thing? Or what are the terms of that if you ever draw down on that credit line? And is it a possibility of taking out the debt and expanding the credit line and is the net savings of that beneficial to the company?
Aurora Davidson: Yes. That's a good question. When I mentioned that the benefits to shareholders in 2021 were three, the first one that I mentioned was a reduction in debt. So to the extent that, that is available to us, it's something that could and would be considered. At the end of the day, we still have some provisions in respect of repatriation of funds that are -- that have a cap. It's not a small cap. It's substantially ample cap that would still allow us to return a good number of -- a big number of cash to shareholders.  But to the extent that we don't want to have that, then we can always go back to the drawing board with our lenders. And see what needs to be done with them to either remove fully all of those conditions or we could move on and to, as I mentioned, partial or full debt repayments. We do have that line of credit.  We haven't used any of that as we disclosed in our financial statements. I think that the line of credit has an availability -- correct. I'm just checking out here to June of 2023, if I'm not mistaken. And the terms of disbursements, yes, June 30, 2023, and it would be subject to basically the same rates that we have on the current loan, which is not protected by the bank. So it's a LIBOR plus a margin.
Unidentified Analyst : Okay. And I just wanted to compliment you again for you're blessed and everyone is blessed with where copper is and where it may go and where it may stay for the foreseeable future, measured in many years. And so you're blessed by that. But what you've done on the ESG and the cost savings and the production side has progressively just gotten better and it's super impressive.  So I wanted to pass that along. I also wanted to tell you that I know everybody appreciates the transparency in providing, especially intra-quarter your monthly buyback numbers, which I think is a very important element for people to understand because it's very clear in your -- based on your January go-along buybacks that the market volatility, not the copper volatility because there really wasn't any for any significant period of time.  But the market volatility is this company's friend at this kind of out-of-touch inefficient valuation. And the fact that I was -- this is just a comment. I was not impressed at all with the results with the Dutch auction, I am super impressed with the effectiveness and the commitment that you have one a go along every day, at least it looks that way, go along buyer of your shares. And it's comforting to know with how strong your balance sheet is now that in this kind of market that this is the most comforting thing is that there is a bid at a certain point. And it seems like it's a regular one from the company. So I compliment you for that. And then I will -- if there is anybody else, I'll pass it along, but I just -- I do absolutely want to be the contrarian here and just offer up again. I'm not going to say what I've said to you before. I think it's fantastic that you have now a very inexpensive -- ridiculously inexpensive stock that has more than an 8% dividend yield. It won't stay that way. It's just not going to -- that is what it is. And so that's been great. The contrarian comment is I for one hope that there's no special dividend. And I am the guy who sits here and with absolutely -- I don't quite understand why based on history, with an interest in taking out the debt, why you would carry large amounts of cash in -- large amounts of cash into the new year. And I just -- I want to tell you, if you do that, companies get criticized all the time for being lazy, having low share prices and high debt or high cash balances. You're new to that neighborhood, and it's a cool club to belong to. And if you happen to change your position and carry major cash balances at the expense of the special -- there's a different word, but onetime tied to dividends. Fine with me as a shareholder. So anyway, thanks very much and great numbers. I appreciate everything you do for the company.
Aurora Davidson: Thank you, John. I think that we have used all of our hour. Everybody else has to return to their normal days. So I really appreciate all of you being here with us today. And as Carmen said, we look forward to reporting Q1 results in about three months' time. Thank you all.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a great day.